Operator: Good afternoon. I'd like to welcome everyone to REPAY's Fourth Quarter 2023 Earnings Conference Call. This call is being recorded today, February 29, 2024. I'd like to turn the session over to Stewart Grisante, Head of Investor Relations at REPAY. Stewart, you may proceed.
Stewart Grisante: Good afternoon, and welcome to our fourth quarter 2023 earnings conference call. With us today are John Morris, Co-Founder and Chief Executive Officer; and Tim Murphy, Chief Financial Officer. During this call, we will be making forward-looking statements about our beliefs and estimates regarding future events and results. Those forward-looking statements are subject to risks and uncertainties, including those set forth in the SEC filings related to today's results and in our most recent Form 10-K. Actual results may differ materially from any forward-looking statements that we make today. Forward-looking statements speak only as of today, and we do not assume any obligation or intend to update them, except as required by law. In an effort to provide additional information to investors, today's discussion will also include references to certain non-GAAP financial measures. Reconciliations and other explanations of those non-GAAP financial measures can be found in today's press release and in the earnings supplement, each of which are available on the company's IR site.  With that, I would now like to turn the call over to John.
John Morris: Thanks, Stewart. Good afternoon, everyone. Thank you for joining us. I wanted to cover three main topics today. First, a review of the fourth quarter. Second, a recap of our accomplishments in 2023. And lastly, go over our strategic initiatives that will drive growth in 2024 and beyond.  First on Q4. On a normalized organic basis, we reported revenue growth of 14% and gross profit growth of 13%. With both metrics performing ahead of our expectations. We closed out the year seeing the continued demand from existing clients adopting more payment capabilities and new clients demonstrating the need for our powerful technology. REPAY has become a leading expert within the consumer payments and business payment verticals we serve. We have become a one stop platform to optimize payment streams, and are constantly working to capture new payment flows on enhancing client relationships with many value added services.  In Q4, our consumer payments organic gross profit growth was 13%. This was primarily driven by the ongoing secular tailwinds within the consumer payments verticals we serve and the continued ramp of recent large client implementations. We added many new partners and clients to our network in Q4, including, or new software partners, bringing us to a total of 165 partners in the consumer payment segment. One example, was our launch with AKUVO, a leading provider of cloud based software that elevates how financial institutions collect and manage their portfolios.  The integration with AKUVO’s collection management software will enable financial institutions to accept digital payments, while utilizing a secure real time data in exchange for streamlined operations, robust reporting, and simpler reconciliation. We also recently announced an integration with Lexop, a self-service software for credit unions, financial institutions and other financing companies that optimizes the repayment journey for past two consumers. The repayment integration with Lexop collections management software enables their clients to collect late payments more efficiently, receive real time payment updates and increase engagement and minimize loan servicing costs.  We added 10 new credit use to repay bringing our total credit union clients to 276 REPAYs vertical expertise and software integrations are a differentiated solution leading to a healthy sales pipeline. As an example, a new credit union client was evaluating multiple processors to solve all their payment processing needs before selecting REPAY. We believe we are the only market participant that has a combination of integrations with our client's core platform on banking platform and collection platform to fit their unique needs.  In addition to credit unions, we're also addressing a similar client base and community banks and winning new clients through our existing software integrations. These new wins continue to give us the confidence that our investments towards creating software partnerships and further embedding our payment technology within existing integrations are leading to a strong sales pipeline with positive returns across REPAY. Additionally, in value added services our incident funding product continues to see significant growth with transactions up approximately 45% year-over-year.  We had a very productive quarter for our Business Payment Segment, which grew gross profit by 25%, when excluding the impact of political media during 2022. Our normalized gross profit growth was driven by sales penetration within software partners, and a strong implementation pipeline for enterprise and mid-market companies, within our healthcare property management, auto, and municipality verticals.  Within AR, we remain focused on deepening our client bases within existing ERP systems and optimizing payment acceptance. And on the AP side, we increased our supplier network to over 261,000 suppliers during the quarter. Our real time vendor enablement continues to drive the number of suppliers with our network, which drives the monetization of digital payment flows and deeper virtual card penetration.  We find many new clients across our verticals during the quarter and we also continue to grow with our existing clients. A great example of this is Baywood Hotels, whose management portfolio spans many well-known brands is one of the fastest growing hotel management and development companies in the United States. We signed and began implementing for Baywood hotels earlier this year. And they have continued to expand on our AP platform by adding many new hotel properties each month.  We are now integrated with 97 software partners in the business payment segment. A few new and expanded partnerships to highlight include Blackbaud, PDI technologies and Sage. REPAY’s enhanced integration with Sage intact will supplement our existing integrations across Sage’s product suite. Software providers are selecting REPAY to directly embed our payment technology into their software, as they strive to enhance their users experience by providing value added services to their customers.  And now on to the next topic, a review a full year 2023. From a financial perspective, we demonstrated normalized organic revenue growth of 12% and gross profit growth of 13% while improving our free cash flow generation throughout the year. From a commercial perspective, we made great progress as well, including the continued focus on our sales and distribution resources. We now have over 262 software partners up from 240 at the end of 2022.  In addition, we aligned our internal sales, implementation and support teams to focus on specific verticals and software partners, as well as strengthening the customer experience. And throughout the year, we added talented team members and select areas of our organization while reducing overall net headcount and maintaining our margin profile. We increased our supplier network 60% year-over-year to 261,000 vendors. On the product side, we rolled out additional payment modalities such as PayPal and Venmo, also enhancing our E-cash Solution. We also made progress on our mortgage debit accepted initiatives with Black Knight.  In addition, we make key hires to ensure our product team can support the rollout of future products and services to support our customer needs. From a capital allocation standpoint, we started the year streamlining the organization with a divestiture of Blue Cow software, which helps us to remain focused on investments towards organic growth.  And during Q4, we utilize our share repurchase program to buyback shares in a disciplined way. The work we put in this past year positions as well to execute towards REPAY’s mission of helping businesses make and receive payments, so they can focus on what matters most to them. This effort involves meshing together a vast ecosystem of payment flows with many moving pieces over the past decade plus. It involves the connectivity of all various networks that allow us to move money, including our card payment rails, RTP, or instant funding via Visa Direct and MasterCard Send.  It means that we need to provide omni modality and omnichannel. It includes the software network of embedding payments directly within enterprise software workflows. These integrations open up large verticals with critical mass and allows us to create a network with our -- within our end markets.  On the business payment side, we have developed a vertically rich supplier network to create a flywheel for the future and eventually expand capabilities to enhance our vendor enablement process. This means we're a full service processor providing value added services like instant funding and communication solutions, while also working on various strategic initiatives and opportunities to expand over time. The value created is the digitalization of payment flows. While also optimizing transaction routing to deliver the best payment experiences to our clients and their customers. While we are relatively already in this continuous mission, we are starting to see improved growth, which we believe will drive higher returns over time.  As we return to 2024, we will align our strategic initiatives with this mission while driving growth this year and beyond. As we continue to take advantage of the secular trends towards frictionless digital payments, we will be squarely focused on first, go-to-market efficiency. We will continue to expand our services and to leverage our now 262 integrated software partners, are finding ways to further penetrate these relationships. We look to add new software partners to help fill our expanding sales pipelines. And we will selectively add enterprise sales team members to specific verticals within consumer payments and business payments.  Second client implementations. We remain focused on making sure we guide our clients through a seamless onboarding process, while providing ongoing and first class support throughout the entire client experience. And third product. Our tech platform is constantly evolving, as we have developed a best-in-class clearing and settlement engine while expanding our payment modalities. As we look into the future, our platform continues to scale as we automate manual processes.  Lastly, our capital allocation priorities remain focused on creating value to our shareholders, by investing in organic growth opportunities. While continue to be open to a creative strategic M&A, as well as buying back shares in a disciplined way. We exited 2023 with a solid execution that has continued into January with consistent trends and strong growth.  With that, I'll turn it over to Tim to go over our financials and our outlook for 2024. Tim?
Tim Murphy : Thank you, John. Now let's go over our Q4 financial results, before I review our financial guidance for 2024. As reminder Q4 normalized organic growth is calculated by excluding contributions attributable to the divested Blue Cow software business, and the contribution attributable to political media in the fourth quarter of 2022.  In the fourth quarter, REPAY delivered solid results across all of our key metrics. Card Payment volume was $6.4 billion, revenue was $76 million, an increase of 14% on a normalized organic basis over the prior year fourth quarter. Our business continues to benefit from strong performance in both card base payment revenue, as well as other value added services such as, communication solutions and Instant Funding center funding, along with higher yields and business payments.  Revenue attributable to Blue Cow and political media in Q4 2022, was approximately $3.3 million and $2.8 million respectively. In Q4, normalized organic gross profit grew by 13% year-over-year. This normalized organic gross profit gross removes approximately $3.2 million and $2.5 million of gross profit attributable to Blue Cow and Political Media in Q4 2022, respectively. Our consumer payments segment reported organic gross profit growth of 13% in Q4. Our business payment segment, gross profit grew 25% when excluding the impact of political media during Q4 2022.  Fourth quarter adjusted EBITDA was $33.5 million representing 44% margins. Importantly, Q4 adjusted EBITDA margins improve sequentially, as we have maintained relatively stable SG&A cost on a quarter-over-quarter basis, while simultaneously working to align our sales implementation and support teams throughout the year.  Lastly, fourth quarter adjusted net income was $26.3 million or $0.27 per share. Pro forma net leverages is now approximately 2.6 times. We expect net leverage to naturally decline throughout this year from our strong profitability and cash flow generation, excluding any potential M&A. As of December 31, we had approximately $118 million of cash on the balance sheet with access to $185 million of undrawn revolver capacity or a total liquidity amount of $303 million.  REPAY’s total outstanding debt of $440 million is comprised of a 0% coupon convertible note and does not mature until February 2026. During the fourth quarter, we used $13.5 million of cash for software partner residual buyout and $2.5 million of cash for share repurchases. As of December 31, we have $37.5 million remaining available under our current share repurchase authorization.  Moving on to our thoughts for 2024. For a full year 2024 outlook demonstrates our consistent growth algorithm of growth with existing clients. The full year contribution from clients that began ramping during the prior year and growth from signed new clients. We expect revenue to be between $314 million and $320 million, we will no longer be providing guidance for CPV. Our company has evolved over the years to now have over 20% of revenue attributable to value added services that are non-card volume tied revenue streams.  We expect gross profit to be between $245 million and $250 million, and adjusted EBITDA to be between $139 million to $142 million. We expect roughly 44% adjusted EBITDA margins. As we expect adjusted EBITDA to grow faster than revenue and gross profit during the year, leading to an acceleration of cash conversion. We're introducing a free cash flow conversion target of approximately 60% for full year 2024. Free cash flow conversion is calculated by dividing free cash flow by adjusted EBITDA.  We plan to reduce overall CapEx spending, giving us the confidence to accelerate our free cash flow conversion throughout 2024, leading to free cash flow growth of approximately 60% year-over-year, and sustained mid to high teens growth thereafter. We continue to execute on our strategic priorities. And while we have more work to do, we were seeing the sales pipeline develop, giving us confidence for our multi-year growth opportunity.  Planning assumptions around the 2024 outlook involved or measured ramp of the previously announced auto captive win, while lapping strong growth from enterprise clients during 2023.  Due to the uncertainty around volume timing, our 2024 outlook does not incorporate significant second half contributions from the mortgage debit acceptance opportunity, and the recently announced business payments enterprise software integration such as Blackbaud. Our quarterly cadence for 2024 is comprised of Q1 being positively impacted from the seasonality of tax refunds. Our Q3 and Q4 will benefit from the incremental contributions of our political media business in the business payments segment.  Our tax refund season began later this year. Early data suggests the total refunds will be consistent with last year, the average refund size may be up slightly compared to prior year. Q1 free cash flow conversion is expected to be closer to the full year 2023 profile, due to quarterly timing around networking capital and it is expected to accelerate throughout the year.  As you can see from our results and outlook, we expect free cash flow conversion to improve throughout 2024, as we reduce CapEx, but also realize the benefits from investments we've made in sales product and technology over the past several years. We've always focused on profitable growth, refining processes across the business where we can scale through automation, while also maintaining investments towards innovation.  I'll turn the call back over to the operator to take your questions. Operator.
Operator: [Operator Instructions] Our first question comes from the line of Ramsey El-Assal from Barclays. Please proceed with your question.
Ryan Campbell: Hi, this is Ryan Campbell on for Ramsey. Thanks for taking my question today. Tim, what are the biggest levers when it comes to improving free cash flow conversion this year? And given the 60% rate you provided? Is that how we should think about the longer term normalized conversion rate for REPAY? Thank you.
Tim Murphy: Absolutely. So, we're very excited about that and can feel confident in rolling out that new metric. The biggest drivers would be you know, adjusted EBITDA growing faster than gross profits. So increased profitability, reduce CapEx down to the levels we've said previously, which are around called 13% to 14% of revenue. Those factors combined lead to the cash flow conversion outlook of 60%. And like we said on the call, we think that can grow sustainably mid to high teens going forward. So that should lead to an even higher free cash flow conversion percentage in future years.
Ryan Campbell: Great, thank you. 
Operator: Our next question comes from the line of Peter Heckmann with DA Davidson. Please proceed with your question.
Peter Heckmann : Good afternoon, everyone. Thanks for taking the question. Can you comment a little bit about your expectations for the growth in revenue related to political media spend over 2022? And then a little bit about how you're thinking about the underlying growth business segment as we go into 2025, or growth in 2024, excluding political media spend?
Tim Murphy: Yes, so we feel good about our setup for this year's presidential cycle. As we've said previously, the 2022 cycle, we had about $6 million of gross profit. And we think that'll grow about 20% this year. So we're expecting strong growth and that's generally related to just the digital payment shift to digital payment trend. And then just a lot of the industry research we've done. So that's how we're thinking about the contribution for this year. And we think underlying business payments growth, excluding political media can still be mid to high teens. So we think it's a mid to high teen growth business in the near term.
Peter Heckmann: That's great to hear. And then what would you -- can you talk a little bit about the expected margin benefit from the software park or residual buyout? Is that where we will see it show up in the gross margins?
Tim Murphy: Yes, you'll see it show up there. And, you know, I'd say our outlook assumes that impact and so you can see a little bit of expansion in the outlook. And that's not solely related to that. But a decent chunk of it is. And so, you know, that's something we've done in the past, we have opportunities still to do that in the future. We think that's a good use of capital, given the multiples we pay for those portfolios. And you do see that show up in in really both gross profit margin expansion and adjusted EBITDA margin expansion.
Peter Heckmann: Great, thank you.
Operator: Our next question comes from a line of Andrew Schmidt with Citi. Please proceed with your question.
Andrew Schmidt : Hey, John. Hey, Tim. Good evening, thanks for taking my questions. I just want to dig into Slide 12, the existing client growth bucket, maybe you could just drill down to that a little bit. I know historically, this has been driven by increased penetration of your existing clients wondering if that's still the case here. There are other factors and maybe just definitional question, whether this includes clients signed in 2023 that are ramping in 2024, maybe just a little bit around that existing client growth bucket would be helpful and your visibility there? Thanks a lot.
Tim Murphy: We do have a lot of visibility there. I mean, our business is highly recurring, it's typically tied to longer term payment streams. And so we see, a lot of growth from existing clients just adopting more of our payment modalities. And our payment channels, which drives typically drives higher debit acceptance and debit penetration, which leads to a lot of the existing client growth. And, you know, like you said, I mean, there's also some embedded growth from clients that have been signed in prior periods that haven't fully ramped, and usually the ramp is, is around additional adoption as well. So it's a combination of those things. And then just the underlying clients themselves growing, helps support existing customer growth.
John Morris: Yes, Andrew, good evening. We’ll also point you to our investor supplement, which we see a bridge on new client growth as well as existing client growth in there. And also give you a couple additional points. If you look at the 45% year-over-year growth in our value added services, which includes our instant funding, those are kind of leading indicators of existing client growth. And then the network effect, we get off of some of our supplier network that growth in our -- 60% growth in our supplier network that in itself drives additional growth, as well.
Tim Murphy: Yes, and it's a good point. I mean, in the business payment side, we have a total pay solution. So we do -- we outsource the entire payables function. And so oftentimes, where we're taking payments from say check, or ACH to virtual card and driving enhanced virtual card penetration in the way we do supplier enablement and vendor enablement. And some of that could lead to existing client growth as well on the business payment side.
Andrew Schmidt: Got it. That's very helpful. And yes, good point about the value add services, I know, that's been an increasing part of the story over the last couple of years. So that's well added. If I could just ask on the -- for my follow up -- just gave a lot of questions on the Convert. Obviously, it's out there and 2026. What's the philosophy around handling that? Are there opportunities to chip away at that in the interim? Or, you know, opportunistically, or is it you know, sort of weekly, a closer maturity? And then, you know, determine of course there. Anything around just the strategy there will be helpful? Thanks a lot.
Tim Murphy: Yes, I mean, we're obviously very aware of the maturity on that it's not still not for another two years. But, we're thinking through different ways to manage that liability. There are a lot of options, it's very flexible capital. And we would -- we're growing cash and one of our capital allocation priorities could be to address the convert and it likely would be in the form of chipping away, like you said, but we haven't made any final decisions on that we have a lot of options. 
John Morris: I would add that the Convert market appears to open back up, which will give us those additional options if we choose as well.
Andrew Schmidt: Makes sense. Thank you, John. Thank you, Tim.
Operator: Our next question comes from the line of Sanjay Sakhrani with KBW. Please proceed with your question.
Steven Kwok: Hi, this is actually Steven Kwok, filling in for Sanjay. Thanks for taking my question. The first one I had was just around if you could talk about the macro outlook that assume within the guide and anything around like how we should think about the gross profit and EBITDA from a quarterly cadence perspective? Thanks.
Tim Murphy: I mean, our guidance, philosophy is generally based on just looking at current run rate trends in our business, and utilizing what we know about the business what we have, either from existing client growth, like I said, we have a lot of visibility into that, and then new signed clients. So a lot of it is just based on those recent run rate trends in our own business, and then what's going on the most recent trends from a macro perspective. So that those are kind of our planning assumptions based on what's currently happening in macro.  And then we, as I mentioned on the call, I mean, the quarterly cadence is that Q1 will benefit from tax refunds. And, I mentioned it's still early days, this tax refunds season, but so far, it looks like overall returns will be generally consistent with last year, but the average refund size is seems to be a bit higher, that would be good for us. And then we see, because this year is a presidential cycle, we see an uptick in Q3 and Q4 related to political media volumes and political media spend. So that's generally how we think about the cadence of our overall business.  From a free cash flow perspective, as I mentioned, Q1 will likely look like the full year 2023 profile, and it will build throughout the year. So free cash flow conversion will accelerate throughout the years leading to a full year number were approximately 60%.
Steven Kwok: Got it. That's very helpful. And just like, following up around the prior comment on the convertible. And just, how should we think about the cash that you have? And if you could talk also about the potential M&A market, because we've been hearing, this maybe signs that valuations had been coming down to? So I want to see what you're seeing out there. And if the right deal comes along does these convertibles on the horizon prohibit you from doing anything? Thanks.
Tim Murphy: Okay, yes, on the convert we -- like I said, it's a really flexible, we have a lot of options, we’re growing cash nicely. Our free cash flow conversion profile should put us over $200 million at the end of 2024. We are looking to maintain flexibility for various capital allocation priorities, the first and foremost being organic growth. And then we have the share repurchase authorization, which we've reacted on toward the end of last year. And then the convert is, again, something we're monitoring at 0% interest. And so we're just trying to be thoughtful around maintaining flexibility to also continue to reduce net leverage.  And from M&A perspective, we do see, we do see the pipeline building, we do see more activity picking up coming into this year, I think sellers probably have become more rational on valuation. So, the spread between private and public markets is probably compressing. But we haven't done any acquisition in over two years. So we've been very disciplined, and we'll continue to be disciplined on valuation.
Steven Kwok: Got it. Thanks for taking my question. And congrats on the good quarter.
Operator: Our next question comes from the line of Joseph Vafi with Canaccord. Please proceed with your question.
Joseph Vafi : Guys, good afternoon, nice results. Could you just go through the reduced CapEx outlook for 2024 remind us, what were some of those investments that were we invested in higher run rates? And, are those projects just completed? Or, how should we think about CapEx reduction relative to forward investment and the opportunities coming from? Then I have a follow up.
Tim Murphy: Yes, we have invested heavily in the business, we've invested in growth. A lot of that was focused on our backend, RCS, where we're just trying, -- that is, we as REPAY are the largest user of that platform. And so we want that to be as robust and as modern as it can be. So as a big investment that we don't think is recurring. From a growth investment standpoint, there's a lot of work to be done on large client implementations, and also large software partner implementations. And then upgrades. We've been doing a lot to put ourselves in a position to further penetrate existing software relationships, in addition to implementing new relationships.  And we've also done a lot of work, we haven't done an acquisition over two years. So in addition to doing work on RCS, we've done a lot of work to integrate prior acquisitions that goes on to effectively a single platform, and there's integration costs associated with that, that can sometimes show up in the form of CapEx. So there's some of that work behind us. And so like I said, we, -- there was – CapEx was a bit elevated in ’23 and we expect to bring that down to fall to 13% to 14%, of revenue level in ‘24. And even further and even further down beyond ’24. That in addition to just EBITDA growing faster than gross profit combined leads to the free cash flow acceleration.
John Morris: Yes, Joe, let me add just a little color there, obviously, that continues our investments in technology go with our embedded payment solutions inside of our software partners, and our ability to do via networks, own networks that move funds. So on the modality as we drive our product features throughout our solutions, we've added many of those this year, to very complementary to what we're looking at, we think we're set up well, and we've made some of those investments, our ability to drive that those processing features. And then -- and we would expect to, as Tim indicated, we expect to scale some of that back, as it's not -- those projects begin in the end.
Joseph Vafi : Sure, fair enough. Thanks for that those comments, guys. And then, if we look at this, some of the stuff like instant funding and your other value services growing really fast. Trying to get a feel for kind of how penetrated in the market, you might be with some of these services. I mean, clearly, it's a small base, but just kind of wondering how you're thinking about the KMs [ph] in some of these fast growth areas. Thanks a lot.
Tim Murphy: The value added services are certainly a nice grower for us, there’s couple of different revenue streams there, we called out, instant funding and communication solutions. Instant funding today, the primary use cases in personal loans, it's funding loans directly on to the consumers debit card, which we actually think leads to higher debit acceptance, because oftentimes, when you fund loan onto a debit card, it becomes a default repayment mechanism for automatic recurring payments. So that's a benefit just to existing client growth in terms of additional debit acceptance.  So, we're probably only utilizing that the instant funding product with maybe a few 100 lenders, and we have several 1000 personal lenders, so the penetration is fairly low. The primary use case we've seen so far for communication solutions is in mortgage servicing, there's a lot of lot of communication, and notifications required around when your payment is due, how your payment can be made, and the various options for making the payments, and that we oftentimes will charge for that. And we're also trying to make more of those communications, digital and entire digital payment to the communication itself. So, that's a nicely growing business for us. And that drives some of the growth in mortgage servicing. Those are two areas, we see where there's just not a lot of penetration today, but a big opportunity to continue to grow those services. 
John Morris: Let me add as well. The real flywheel effect on the business payment side is, we're seeing tremendous amount of opportunities there, specifically on the payable side, and for every payable with someone else's receivable, our ability to really turn that crank is there. And our ability to just continue to accelerate that. Let me add as well, embedded payments into very large enterprise software platforms, such as our example we've been giving us is Blackbaud. There's several of those opportunities out there. And really help in the monetization of payments, to and from which exist in every platform. It's a significant opportunity with many years of growth, as well, as we mentioned a few things as well, like our mortgage initiative is really not in our ‘24 concepts, but we think it's a multi-year contributed organic growth as well.
Joseph Vafi : Great, thanks for that extra color, John. Nice quarter again, John and Tim. 
Operator: Our next question comes from the line of James Faucette with Morgan Stanley. Please proceed with your question.
James Faucette: Thank you very much. Just a quick question. Obviously you answer the question around acquisitions and valuations and you guys haven't done anything in a couple of years you've been disciplined, but maybe that's starting to open up a little bit. How should we think about what kind of appetite you would have like what are you looking for either from a capability or size perspective? And then, you know, in reference to your CapEx questions, I think your comments about like maybe why that was elevated now coming down makes sense. But if and as you were there to do some incremental acquisitions should we expect CapEx to come back up? Or is that really hard to say, ahead of time? 
Tim Murphy: Yes, in terms of M&A priorities, I mean, we look at deals across both consumer payments and business payments, we have a number of attributes we look for, it usually centers around integrated payments, because integrated payments to us lead to better retention statistics, typically higher margins. And that's why we focus on those types of businesses, and those exists across consumer payments and business payments. We'd like to scale business payments, we'd like that to be a bigger part of the overall mix.  We see -- in the business payments segment, specifically, we see targets in both AR and AP, I would say there's probably more targets than AP. And we would be not only scaling, B2B, but we potentially would be buying other capabilities, like cross border payments, really not in cross border payments today, we could be more in the SMB market through acquisition, right now we're focused on medium to enterprise, there's some opportunities to potentially participate in the SMB space, or just expand the number of verticals, we're in AP, there's some of our targets are in different end markets. And they have their own supplier networks and those end markets.  So we'd be getting access to new vertical niches, new software integrations and an enhanced supplier network. Because we'd like to grow supplier networks that would be one of the attributes we'd look for on the AP side. So you know, those are, that's how we think about M&A. It's across the board. But we do want to grow the B2B business and scale it.  And, we've done a lot of work to bring these platforms together. And I think we have the right platform and infrastructure in place to absorb additional acquisitions without significantly elevated CapEx to integrate them. I mean, there may be some work required, initially. But I think we've kind of demonstrated our ability to bring these platforms together, particularly over the last few years when we haven't been doing M&A and been focused more on organic. I think -- and I think segmenting the business also sets up to absorb acquisitions more effectively and efficiently going forward, which should limit the need for incremental CapEx.
John Morris: James, the thing I would add to that Tim's that -- on those comments, the other thing I would add to that as. We have proven our ability to embed payments into these various different software platforms, we would want to add to our scale across the board for our key core competencies of what we do. And we think we can get great shareholder value with the right opportunities there.
James Faucette: Yes, got it. Got it. Thanks a lot. 
Operator: Our next question comes from the line of Timothy Chiodo with UBS. Please proceed with your question.
Timothy Chiodo : Great, thank you for taking the question. Of the 262 software partners. If we were just to look at the consumer payments side, just want to get a rough lay of the land update in terms of how would you describe the need for you to sell into those? In other words, I know that for many of them, the sales folks that REPAY would be able to contact the underlying merchant working with the software platform. Maybe some of them if you could just help us. Some of them you're kind of the only payment provider and any anyone working with them as automatic business to you. Maybe just break down the mix there? And then I have a brief follow up unrelated on RCS?
John Morris: Sure, I'll start. Good evening, Tim. We are a direct salesforce. And most all of our software providers are referral partners, as you are aware, in which they're referring new clients to us, and we're actually going directly into capturing the clients we don't already have, which are several of those inside of every one of those of those 262. So we're constantly going through our associations, our conferences, that in which we are meeting these various new clients. So it's a direct approach where we own the customer relationship. Some of that is obviously reflected in our margins, but we do partner with them. It's probably -- from a referral basis is probably a 50-50 relationship of us being referred to us but ultimately, because of the payment expertise knowledge needed, because of the omni modality omnichannel part of this, is great value in the financial technology embedded into that and it needs our expertise to onboard of our clients through that process.
Tim Murphy: Yes, and I'll add, the consumer side, we have 165 of the 262. Like, I think you are saying, we're often their preferred provider, these software partners don't need more than, say two or three at most payment providers in their platform. And usually, our integration is more deeply embedded into the platform. And therefore, we get more of the referrals. And then we start calling on the clients directly, which leads to existing penetration opportunities.  So we're often the preferred provider. And we've had a lot of these relationships for a number of years. And we've gone through an exercise of refreshing the integration, which is some of the CapEx dollars. But that gives us a better opportunity for penetration.
Timothy Chiodo: John, Tim, thank you. But of those answers were very helpful. That's exactly what I was trying to get at on the 50-50 on the 162. And that extra context is great. The follow-up, RCS. So oftentimes, we talk about RCS as an acquisition that helped with your gross margins. And anytime you bring on an acquired property, you can switch the processing over to RCS, it's in house, it helps your existing business it helps future acquisitions. But will we often or don't, as often talk about is just RCS as a standalone business, and gaining processing share and signing up new partners on its own outside of REPAY? Is there any just kind of context you could provide around that? How much of a focus is that? How is that going?
Tim Murphy: Yes, we can I mean, you're right. I mean, there is a there is an effort to bring on new processing clients, we would call them onto RCS, we have a dedicated sales team doing that. Some of them with a lot of experience in the industry and has a lot of relationships with the various processing -- client prospects. And so we do bring on several of those a year. And oftentimes, they're coming to us from one of the larger shops looking for a more customized solution, enhance customer service, and a more basically a more modernized platform, with windows of onboarding and all the different things we do for them. So that's how we win there. We, -- it's not from a sales and distribution perspective, it's clearly not the number one focus, because it's not the largest part of the business. But we do have an effort there to bring on new clients each year.
Timothy Chiodo: Excellent. Thank you for both of those.
Operator: [Operator Instructions] Our next question comes from the line of Mike Grondahl with Northland Securities, please proceed with your question.
Mike Grondahl: Hey, guys, thank you. First question is just, how are you feeling about the auto and the personal loan end market? And then secondly, just the pipeline sales pipeline? How are you feeling about that? Or how is that stacking up kind of relative to other years.
Tim Murphy: In terms are personal and auto, very similar trends, as we said previously, in prior quarters. We try to stay close to our clients there, but the trends we're seeing are pretty similar. And in terms of the sales pipeline, I mean, one of the things we like about adding the four or five new software partners each quarter is it just gives us a much larger distribution opportunity and helps to helps us grow the pipeline.  And so we feel like we have a really robust pipeline, coming to us via referrals from the 262 software partners and also, just with our direct sales force, we've added, you know, we reduced overall headcount in ‘23. But when we did add, we added in areas around go to market, like direct sales, reps and sales support. So we have a very healthy growing pipeline, largely a result of just the growing number of software relationships.
Mike Grondahl: Got it. Okay, thank you.
Operator: There are no further questions in the queue. At this time, I'd like to hand it back to John Morris for closing remarks.
John Morris: Thank you again for joining us today. We're capped off 2023 with strong results that we have continued to see in the first part of this year. We feel confident in executing on our 2024 plan, as we outlined today of profitable growth and accelerating free cash flow conversion. Thanks for joining us.
Operator: Ladies and gentlemen, this does conclude today's teleconference. Thank you for your participation. You may disconnect your lines at this time and have a wonderful day.